Nathan Scholz: Thank you for joining the Domino's Pizza Enterprises Limited Half Year Earnings Call. I'm just going to wait a few moments for the attendees to populate. Okay. Well, thank you. I can now see the attendees are now on the call. My name is Nathan Scholz, I'm the Chief Communications and Investor Relations Officer for Domino's Pizza Enterprises. On the call today are Mark Van Dyck, Group CEO and Managing Director; and Richard Coney, Group CFO. [Operator Instructions] Thank you very much, and over to you, Mark.
Mark Van Dyck: Thank you, Nathan. Good morning, and thank you all for joining us today. The plans I outlined for you earlier this month have not changed. So today, in addition to a discussion on our first half results, I'll reiterate some of the key elements around our approach to our strategic review, and I'll outline how we intend to get value creation model back delivering returns for all stakeholders, particularly shareholders and the work that will help us achieve that. Domino's is one of the world's great brands with decades of experience serving our customers, providing opportunities for franchise partners and delivering returns for shareholders. First, I'd like to run through our top line results and provide an update on the work that we are doing to return to sustainable growth. Let me assure you this is not business as usual. Richard, our CFO, will then provide an update on our financial performance. I'll come back to summarize and we'll open it up for Q&A. Less than 3 weeks ago, we announced we were closing 205 loss-making stores, mainly in Japan and mostly opened during COVID-19. This is to sharpen focus on stores and regions with the greatest potential, improving profitability and support our broader turnaround. Because of disclosure obligations, we updated you then because we are moving at pace. I want to be clear that those recent closures in Japan do not reflect and should not be interpreted as a statement on our long-term opportunity to grow, including new store openings. The fact is good stores create great value, and you can see that by the improvement in unit economics of our franchise partners we have achieved over the past 12 months. We'll provide a detailed update at the Strategy Day in Brisbane to be held in this fiscal half. Today, I'll outline a little more of how we intend to get back to the virtuous cycle that delivers for all stakeholders, particularly our shareholders and the work that will help us achieve that. You'll hear more on the financial results from Richard, but let me provide you with my key takeouts for our half. Firstly, network sales were 2.9% lower because of lower same-store sales, currency translation and because of store closures that occurred in the half. When you look at same-store sales, which shows the underlying performance, H1 same-store sales was really a story of 2 quarters. We started the first half behind aspiration with Malaysia and Taiwan cycling some external factors and Germany, as we reported at the August update, cycling the incredibly successful Doner Kebab promotion in the prior year and lower than expected. At the August update, same-store sales were minus 1.3%, but we ended the half at minus 0.6% in the second quarter. Germany returned to growth in the flat and Malaysia and Taiwan cycled those external factors. That means same-store sales for the half were mostly positive, but affected by France and Japan, 2 markets where we have shared our strong focus on turnaround actions. As you know, I started as CEO 3 months ago. What I share with you comes from visiting 6 countries, visiting dozens of stores and speaking with hundreds of team members and franchise partners. Everything I've seen and heard tells me we have significant strengths to build upon. This is despite cost of living forcing consumers to make difficult choices regarding their spending, including on QSR. We operate in large, attractive markets for QSR and QSR pizza. And in most of those markets, we are the leader with well-recognized and valued brands and with strong franchisee networks. We sell high-quality food and the flexibility of our menu offering and our product development means that we can meet the times with great value for customers, whether individually, in families or in other groups. For example, today, in Australia, you can purchase a Domino's meal for your family with 3 value pizzas and 3 sides starting from $37 delivered. It's quality food, a great experience and great value that rivals anything in our industry. We have a terrific team of passionate Dominoids, as we call them, more than 120,000 strong, including more than 1,500 franchise partners who are invested in our shared success. We have a proven value creation model or flywheel as we call it. If we deliver for our customers, we grow sales and increase profits for our franchise partners and earnings for our shareholders, and the model leverages strongly once you get beyond threshold weekly sales levels. What is also clear is we have significant opportunities in front of us in both the short and the long term. I highlight again the attractive markets we're operating in, such as Germany, one of the largest pizza consumption markets in the world, worth more than EUR 4 billion annually. And we have the leadership position with a share 3x our nearest competitor and still cover just 1/3 of the geography. Benelux has a track record of success with 95% brand awareness and a store footprint larger than McDonald's and any other QSR competitor. And of course, Australia, where we have more than half of the pizza category, but we're still less than 5% of total QSR. So the fundamentals are there, and we do have room to grow. So to build out our long-term potential, we know we need to do things differently. We need to improve unit economics. We need to enable our franchise partners to build their wealth and reinvest in expanding their businesses. We need to simplify our business and reduce complexity. For example, the packaging SKUs we order will flow through to better operations and lower costs, boosting margins for our franchise partners and returns for shareholders. We are working with urgency on immediate top line and bottom line initiatives. We've already announced decisive actions we are taking to remove costs that would otherwise be barriers to returning to growth. For example, the closure of the unprofitable stores that were unlikely to reach profitability in the near term, delivering $15.5 million in network benefits on an annualized basis. Refocusing our spend on IT, marketing, ingredients and packaging to deliver immediate and ongoing savings, including $18.6 million in network benefits annualized. There is no doubt consumers are under pressure globally with sustained cost of living pressures affecting QSR broadly and, of course, businesses generally. But where we're getting the customer proposition right, we're growing share, including in large markets such as Australia. We do have some short-term challenges post COVID in general and with the addition of 4 new DPE markets, Taiwan, Malaysia, Singapore and Cambodia, complexity crept into our business from support offices to the cut bench in our stores. Two of our markets, Japan and France, have been particularly challenged and require an individual and carefully considered response to each. We are working on those in parallel as a necessary part of reaching our long-term potential. So that's the environment that we're working in. So what is the plan? We have a proven value creation model. This flywheel has delivered phenomenal growth and strong returns for all of our stakeholders. But clearly, we need a better focus on execution. Things need to change. We need to get that flywheel back to being a strength for Domino's, where we consistently deliver for customers, our franchise partners grow their sales and profits with high contribution margins past breakeven. Our franchise partners are then hungry for more, expanding their store network to reach more customers efficiently and profitably, which helps DPE leverage our supply chain, marketing teams and other support services to grow earnings and margins. The work we are focused on short term and long term, all comes back to this flywheel starting with the customer at the center of the business. You'll see the benefits of this approach in our franchise partner profitability, which lifted across all major geographies, excluding France and Japan as a result of the high contribution margins of additional sales. I've been frequently asked, are we saving enough to return to the sustainable growth we want to achieve? The simple answer is no. Cost reductions plus sales growth is the powerful formula for our growth in our business. And on a rolling 12 months, you can see that formula in action with average EBITDA plus 13.7% higher than the prior corresponding period. Those increases came from a reduction in costs as we pass through the benefits of earlier savings programs in the form of reduced ingredient and packaging costs as well as an increased course in sales. A further question I receive is how do you deliver the meaningful uplift to unit economics required? The nature of our model for our sales have a very high contribution margin in excess of 30% once our stores have passed the breakeven point. To achieve an additional $30,000 of profit, we need an additional $100,000 in sales. Talking averages, that's on a store likely to have a turnover of more than $1 million already. It's not a small task, but we understand the opportunity, what needs to change and the need to focus on execution to deliver it. Let me talk about growth. And I don't mean short-term sugar hits. I'm talking about sustainable growth. If I have to pull this down, it's not about a change in strategy, but a change in execution. Some of our markets simply aren't delivering at the same level as our top markets are showing is possible. We, of course, need to change that. What we're doing is creating a simpler, more consistent Domino's. It's not a window dressing, but a strategy to create sustainable shareholder value over the next 3 years, backed by a meticulous focus on execution. And it has 2 parts that contribute, cost efficiency and strategic growth. Let me start on the right-hand side of this slide. We're working at pace to define the strategy and growth plan that will allow us to build out the full opportunity for this great business and our franchise partners. While we will share the details of that at our Strategy Day to be scheduled in Brisbane later this fiscal half, it's my view we can make considered choices on where to prioritize capital to profitably build our store footprint. Importantly, our share of QSR and the pizza category through building frequency and, of course, new occasions. Network growth is important for our future, but so is same-store sales growth that outperforms in contributing to our earnings. We need to deliver both because there is no point in growth that is not profitable. To reach that long-term potential, we will keep a single-minded focus on our goal. But we aren't waiting for that. We also need the venture capital, of course, to reinvest in growth. As we've shared, we've taken rapid action, including closing loss-making stores and driving other cost efficiencies. These are simply the first steps. What is required to simplify our business, our cost base, our operations in stores and our customer proposition. For example, by simplifying the amount of packaging options, we make space in stores for our team members, reduce the amount of deliveries through our supply chain and reduce costs at the manufacturer's end. We've worked with select expert advisers to help our teams look at our business with completely fresh eyes and to challenge our existing views. Simplifying does not mean a reduction of quality, quite the opposite. Simplification means we can focus on making every customer experience as positive as it can be. Think back to that packaging example. Simplification means a higher accuracy of stock deliveries to store. It means our team members spend less time trying to select the right package for each product, and it means it's easier for our delivery experts to ensure they have the correct items when heading to a customer's home. It's my first view that every great food business is built on quality, value and experience. The evidence is clear at Domino's, where we deliver for our customers with high product quality scores as voted by our customers at the end of their order, we see higher Net Promoter Scores. People then tell their friends and family how good Domino's is, they buy again, and this leads directly to higher same-store sales growth. We believe there's more that we can do in the short term to deliver on this commitment to our customers and franchise partners to give ourselves the lift in unit economics, coupled with reinvestment from savings initiatives to restart the virtuous cycle. To be clear, short-term initiatives are not about a silver bullet. It's about a focus on doing small and big things better. It's about execution and ensuring all of our markets raise their results to our leading markets from product quality to digital conversion, for example. And for example, we can see a stark difference between conversion rates from store to store, where it's because of our local pricing and promotions, their product quality and local NPS scores or simply their opening hours aren't meeting the need of their customers. Again, with the same tools at the franchise partners' hands, the same brand recognition, the same menu and yet the difference between our top-performing stores and our bottom can be greater than 8% of same-store sales growth. We have to close that gap with greater consistency. The measure of these initiatives will be higher profitable same-store sales growth across our markets, which will drive franchisee profitability and profitable network growth. At the same time, we're working to lower costs for our franchise partners while we work on the medium- and long-term road map. Savings are only one side to the equation. We have to deliver top line growth built on more customers, more frequently in all markets. As I mentioned earlier, every great food business is built through value and experience with quality food the capstone of this offering. If you don't deliver high-quality food, value and experience are no substitute, which is why our teams are building out a pipeline of high-quality menu items. These products need to be accretive, and they need to be scalable. In short, we're developing products that customers and franchise partners love, lower cost of goods sold without overcomplicating store operations. It can be delivered. For example, we've recently bought back our highly popular thick shakes back to the menu in Australia. They're mixing well and accretive. But before we focus and that's even before we focus our marketing efforts on them. But importantly, they're being delivered in a more operationally simple and more consistent method than previous iterations, which is a direct result of the engagement between Kerri Hayman's team and our franchise partners. In The Netherlands, our Honor the Crave campaign has delivered double-digit same-store sales focused on the great products we sell, including our pizzas, including the new Detroit pan and shakes, all designed to be delivered. These examples show there's headroom for us to grow order counts by reaching more customers on more occasions at higher margins in every one of our markets. Our team are working on delivering value without being in any way detrimental to customers. We know customers value transparency. What we see -- what they see is what they get. As just one example, across the group, we're trialing menu pricing that more accurately reflects the average price paid without coupons. This allows us to remove the need for hundreds of coupons that make the ordering experience more daunting for new customers and more difficult, frankly, for loyal customers to know if they're really getting the best deal. I don't want us to get ahead of ourselves, but some of this testing has shown a small reduction in the menu price can deliver a larger basket because customers are getting great value without needing a coupon to secure it. We're working across the full customer experience from first entering our online ordering platforms to accelerating conversion thereafter. For example, our team already working on changing the order flow on our digital platforms to halve the number of clicks required to place an order to lift conversion from our existing customer set. And in Germany, through the integration of improved system for customers to select their delivery address, we were able to lift conversion by more than 4%. When I joined the business in November, I set out 5 areas of focus: rebuilding value, making operations as efficient and as simple as possible, strengthening franchise partnerships, delivering growth through customer value, leveraging and building a high-performance culture. And of course, taking decisive action, where change is required, we will move quickly and transparently. Strong unit economics are at the core of our business. We have to make a meaningful change in the near term, finding the venture capital to reinvest in our business. The insights I've shared are being implemented in the immediate actions, and we understand the urgency of this task. Some of the early wins include, as you know, closing 205 loss-making stores, including 172 in Japan to deliver an annualized benefit of $15.5 million, whilst also lifting surrounding stores by retaining some of those orders in the neighborhood. Additional annualized cost efficiencies of $18.6 million through initiatives such as simplifying and focusing our IT and marketing spend. As an example of that marketing work, we've already delivered savings and an improved use of our marketing spend in APAC through a partnership on media mix modeling. We're expanding that partnership to Europe in this half with the intention to deliver improved returns on a much more focused investment. This is not the end of the cost efficiencies, but some of these efficiencies will take time to secure and to translate to our earnings and those, of course, of our franchise partners. I will keep you updated as we proceed. In the first 7 weeks of this half, we've achieved same-store sales of plus 1.5% versus the prior corresponding period of plus 3% I'd like to return to my comments just a few weeks ago where the timing of seasonal holidays in Asia had flattered that update simply because those holidays fell in that short window in which we were reporting. Sales for those holidays can be extraordinary, providing 50% to 100% plus swings from week to week. So today's update of 1.5% will actually reflects how we started this half. When we look at the year-to-date, this represents a continuing improvement given we started the year reporting in August that we were minus 1.3%, largely due to factors I mentioned, including Germany and Malaysia. It's worth noting these results are in an environment where QSR is under pressure. As I mentioned previously, we're generally outperforming the market. I'm pleased as we sit here today that the majority of our markets are reporting consistent same-store sales growth but we are certainly not resting on our laurels, and we're working on the initiatives I've outlined here to improve the results. So in summary, before I hand over to Richard, this is a great brand and business, but we need to do things differently. We need to be better with our execution, and that work is underway. The first half shows we can improve our sales performance, focusing on our product, experience and value. Our plan is to reinvigorate Domino's, simplify the business, drive stronger financial returns and create value for customers, franchise partners, team members and most importantly, our shareholders. Let me assure you that we really understand the urgency of this task. Richard will now speak to this half's financial results.
Richard Coney: Thank you, Mark. Moving to Slide 13. As Mark mentioned, our network sales of $277.9 million is 2.9% down on prior year, but 1.4% up on the preceding half. Our EBIT is also slightly ahead of the preceding half, up 0.7%, but negative 6.7% versus prior year. Our underlying net profit before tax came in at the higher end of the February trading update guidance of $85.6 million. We have declared an unfranked dividend of $0.555 per share with a fully underwritten [ DRP ] in place. Moving across to the geographic summary. As you can see here, ANZ was clearly the strongest performer with EBIT up 7.6% to $67.7 million, with margins of 17.1% versus 15.1% in the prior year. This was primarily due to a significantly stronger performance in our corporate stores this half. Europe was 11.1% down on prior year with trading conditions in France continuing to be challenging with Germany also rolling a very strong prior half performance, as Mark alluded to. Asia was down 19%, largely due to declining sales and margins in Japan. If we move across to Slide 15, our nonrecurring items. Here, I provide a breakdown of our nonrecurring costs totaling $115.6 million, of which $92.2 million relates to store closures and our franchise optimization program. Also noting that we expect a further $16.5 million to come through in the second half. If we now move to Slide 16, our free cash flow, you can see our net operating cash flow remained strong at $95.4 million, noting the reduction versus prior year of $47.4 million is largely explained by tax paid normalizing from a $16.5 million inflow versus the current half outflow of $32.3 million. Net investing activities reduced by $9.8 million, predominantly due to significantly lower new store openings. Moving to Slide 17. Here, we've got our CapEx. You can see our CapEx, which recycles is now, for the first time, a net inflow of $1.5 million, with investment in stores being more than offset by repayment of franchisee loans and sale of stores. We continue our investment in digital CapEx. And although prioritized, it now makes up 2/3 of our total CapEx spend and quite a large part of our investment moving forward will be in this space. If we move now to Slide 18, our capital management. As highlighted on this slide, DPE maintained a robust liquidity position backed by $404 million in cash and undrawn committed facilities. Our net leverage and interest coverage remains well inside covenants. However, noting that we are still targeting a net leverage of 2x. And as such, we will continue with the planned fully underwritten DRP along with other capital management initiatives. Thank you, and I'll now pass you over back to Mark to talk about the future outlook.
Mark Van Dyck: Thank you, Richard. And I know we'll have more opportunities this year, but can I say a massive thank you for your service to this business. 30 years is an extraordinary effort and achievement and DPE and our franchise partners have been great beneficiaries of your expertise and your focus. We look forward to you continuing to bring that and also helping transition [ George Salles ] as a successor when we know his transition date. As I mentioned in the trading update, our sales momentum in this half has continued to improve at ANZ, Europe and Asia. This is a challenging QSR environment, but we've demonstrated where we deliver for the customers, we can win share and grow sales, which flow through to our franchise partners. Our continued same-store sales momentum relies on putting customers first with quality food, compelling offers and a seamless ordering experience. We're working on each pillar in all of our markets. Looking ahead, we're not seeing material headwinds or tailwinds at the store level for commodity prices that make up our food basket. We do have some source price reductions offset by higher cheese prices. But our goal, as we've shared, is to continue to deliver product innovation that continues to bring down store food costs as a percentage of sales. In the medium term, we intend to supplement these product development efforts with simplification of ingredients and packaging, that is a longer process that is effective as contracts change, but will help fuel the equation of cost reductions plus, of course, sales growth. Prior to my appointment, management advised Domino's intended to grow FY '25 earnings versus FY '24 with this growth to be delivered in the second half. To deliver this outcome, we will rely on a number of key factors. Number one, ongoing improvement in same-store sales momentum, particularly in Japan, where a higher weight of corporate stores has a larger effect on DPE's earnings. Number 2, the timing of some of the network savings we've identified in our recent update, included in honing our IT and marketing spend; and 3, the timing of store closures, particularly in Japan, which I can advise is moving as quickly as possible. Turning to the longer term. DPE has a significant potential through combining growth in our existing network and expanding our network footprint. We've talked a lot, so let me conclude by giving you my elevator pitch about the business. This remains a business with significant opportunity for growth, and the team and I are really focused on realizing this in both the short and the longer term. For me, there are a number of key priorities, putting the consumer at the center and simplifying to deliver quality every time. Focusing on quality and cost efficiency will create the venture capital to grow and drive our flywheel. We've made early progress also on our Full Potential plan, but we're not waiting. We're taking decisive action on opportunities as evidenced by our recent trading update. So we're building a different Domino's, one based on simplicity, greater consistency and a strong focus on execution. It's early days, but I believe the best for Domino's is yet to come. And we'll now happily take questions.
Nathan Scholz: Thank you, Mark. I'm going to open it up to questions now. The first question I can see is from Ben Gilbert.
Ben Gilbert: Just this one for me, Mark, probably a bit of a bigger picture one. But when you're looking at the turnaround or trying to drive productivity, are you looking at any sort of specific case studies or experience global? It seems you're going on a similar path to what Starbucks is going on, albeit again, early days in the process. Just interested in how you're thinking about the stages if you're modeling on any others previously and I suppose some of the signposts we should be looking for in terms of moving forward with the strategy?
Mark Van Dyck: Yes. Look, I think let me answer that as follows. I think the commonality from what I've viewed at Starbucks is, one, going back to the basics that drive the business; and 2, putting the consumer at the center. I think in all of these exercises, what you want to make sure that you do is drive efficiency but continue to enhance the experience and keeping that as the true north is definitely the sort of principle that I've always followed. I think there are some kind of unique characteristics to our operating model. So it is a full review of operations and the model for us. But clearly, as we've identified to date, where we've seen the greater opportunity for efficiency is, firstly, in the whole ingredients and kind of food procurement area. Secondly, in IT; and then thirdly, efficiency in marketing. I gave the example earlier on about the marketing mix model, which basically gets you to use the awful cliche a bigger bang for buck out of your marketing spend through the right sort of empirical support. But then we'll continue to evolve it. I do see it as a necessary feature of business in this current environment. And I think the thing that gives me the most confidence for that continuity is actually the incredible collaboration that we've experienced so far from our supplier partners. It really has opened the door for our supplier partners to come in and understand our strategy and focus better and really bring us ideas around; one, how we can enhance the consumer experience; but 2, also how we can make kind of efficiency trade-offs. I mean I sat in a meeting the other day very specifically to give you an example, with some of our franchisees where we put 2 boxes on the table, did the test and the box that the franchisees thought performed better was actually a new box versus our current and saved somewhere in the region of about $350,000. So that just gives you a sense for some of these opportunities that we're able to unpack.
Ben Gilbert: That's helpful. And just a follow-up, Mike, just on that comment you made around the previous sort of guidance around growing EBIT for this year. Just -- obviously, there's a lot of caveats there. In sort of looking -- reflecting on obviously trying to execute on this strategy, how much of a priority is it delivering that number? Because you obviously got a decent chunk of cost saves that's coming through from closures in the second half. It feels quite achievable, but there's obviously a lot of caveats on there. Is it wanting to invest upfront? Or what was the reason behind that?
Mark Van Dyck: No. Look, I think it's a very strong focus for the team, and we remain very committed to focusing on optimizing the results in this year. I don't think there is any kind of reticence on that. What I was trying to highlight, which is frankly a statement of fact is it does depend upon those 3 things. But we are enormously focused on making that happen. I mean I can tell you, for example, on the store closures, there's 172 stores in Japan that we've got to close. The team there is moving at incredible pace, if I'm honest, faster than I actually anticipated. So I think that's a good sign around the commitment of the team to deliver and to take action.
Nathan Scholz: The next question is from Bryan Raymond.
Bryan Raymond: Just on franchisee profitability, it's clearly seeing some good momentum year-on-year. I do note it's kind of flat sequentially versus what was reported in August last year. Just wanted to get a bit more color around how comparable those numbers are looking between results. I understand it's based on the sample that you've got in each period. But are you still seeing -- do you think you're seeing momentum sequentially? Or is it a function of just that baseline being a bit lower in the 12 months in the current denominator essentially? Just be interested to know if that's a comparable figure. And if so, are you happy with the sort of broadly flat performance sequentially?
Mark Van Dyck: If I just highlight that I compare -- I mean, the way we've compared it is taking into account seasonality, and we do have -- depending on the quarter, you do need to be comparing apples with apples. So I would say that that's a fair representation that we have some traction. But your point is it's fairly marginal, but we obviously need to improve significantly above these numbers moving forward.
Bryan Raymond: Just on that seasonality point, I mean, it is a 12-month rolling figure. So is there any reason to sort of not compare the 2? Or do you think it's fair to do so?
Mark Van Dyck: It's just really the timing of -- yes, I mean, say, it's relatively marginal. So I wouldn't be taking too much into the variances. But more importantly, it's -- we are comparing a true same-store position where we closed.
Bryan Raymond: Yes. Just to follow up on that, is the closures that you've seen, obviously, there's a lot of corporate stores in the closure set over the past sort of 12, 18 months. There's been a few rounds of store closures. But I'd assume there's been some unprofitable franchise stores that have exited that measure as well. Is that -- would that have been a benefit to that if we had a sort of an overall picture, including those stores, would it look much different?
Mark Van Dyck: Yes, that's a good question. I would say that we have benefited from the store closures, but relatively marginal. And remembering that a lot of this information is in jetlag as well. So we're talking about historic numbers coming through here. But yes, so good question, but marginal.
Bryan Raymond: And then just final one just on this is just -- I think in the past, you guys spoke to EBITDA on a per store basis for franchisees at $120,000 plus, if I'm correct in that figure, to be back to a kind of normalized level of store rollout. Is that -- do you have any views like under current management of where that number you would like it to be through the cycle?
Mark Van Dyck: So I'm not quite understanding the question.
Richard Coney: Yes. Bryan, if I can speak to that. There's been no change in our view that $130,000 is really the interim target for us to get back to the level of payback that we're looking at. That's across the group, a 3- to 5-year payback. I mean we're talking averages, but that gets us back to a 3- to 5-year payback, which is what we know gets back to that virtuous cycle that Mark has spoken to where franchise partners are keen to expand their networks. So yes, to your question, we still believe that, that $130,000 is the appropriate number. And as Mark spoke to just now, that requires something in the order of about a 10% volume increase, offset by other savings and reinvestments that we'll be intending to make.
Mark Van Dyck: And obviously, it's dependent on the store build costs in each of the regions. So yes, it tends to be an average. So you just need to be careful with averages -- and our Asian markets generally, it's probably a higher multiple, specifically Japan, probably more Japan in terms of its lower cost of capital in those markets in terms of what a franchisee would see as a strong return in that market.
Bryan Raymond: And then just final one for me. Just on the promotional plan.
Nathan Scholz: Bryan, sorry, I'm going to get in trouble from other analysts. They'll come and flog me. And I'll hand over to Shaun Cousins, and Bryan we will have time to come back to you.
Shaun Cousins: Maybe just a question regarding France. Same-store sales remain in decline. While France isn't that material for the group, I'm just curious why the French firm and fair plan, which seems to be more franchisees on Domino's pricing, higher Net Promoter Score, Uber Eats deal and a new marketing campaign -- why isn't this working? And I really want to dig into sort of how then Domino's thinks about its inability to date to get comp growth into positive in France? And then how do you think about how you execute in a much, much more important market like Japan? So why isn't France turning around? And what are the learnings you now take to Japan, please?
Mark Van Dyck: Yes. Let me try and answer that for you in a couple of parts. So number one, I think in France, there are 2 critical things that I believe we need to do to enable growth in France. The first one is broaden consideration and address what research has told us. I've looked at research since I joined and basically consumers there have a concern that product is looking a little heavy. I think some of that's honestly the way that we have kind of advertised it and also not as high quality. And I think some of that is also about the level of discounting that we've historically done. So that's a very firm focus for us to resolve. There is, as you know, a kind of new campaign that's continuing to be rolled out. And the good news is we have franchisees and ourselves backing that with an extra 1% in the ad fund. I think that will take time. Shifting consumer perceptions does take some time. The second, I think, critical enabler is to get full alignment with our franchisees so that the plan is executed consistently everywhere. I think there's still more work, honestly, to be done on that, and we will keep working on that. But what also gives me some confidence aside from the fact that, obviously, France is a huge QSR market, I mean, $31 billion and pizza QSR pizza is a good sized market at $1.4 billion. There are a lot of other kind of key things that we can do. We under-index on aggregators, for example. I think we can simplify our promotions and move away from this very high focus and move to the point I made before, doesn't necessarily help the product kind of inventory. And as you've seen us do resize and reshape the network. I think the other unique characteristic of France is it's got a higher pick up characteristic. And I think we've got some work still to do on improving our stores for that experience. So a fair bit to do there, focus on the team, but we recognize it's not where it needs to be. And there is a lot of effort going on, I can reassure you on that right now despite, as you say, it's not the highest contributor to the group result overall, but every market is important to us. Japan, we were encouraged by January. I mean January is a critical month, as you know, for Japan, and we actually saw a really good result there. So I think that proves that when we align the calendar, align the team, align franchisees, we can get really good results. And there is a fair bit of work going on, on Japan right now. I mean, first and foremost, obviously, is we've got a new foundation for growth there. I mean resizing the network is significant there. And as I said, the team is definitely getting on with that, but that's a fair body of work. I think for me, there are a couple of other really important things in Japan that we're working on. And again, they do take some time, but we're making moves already. We told you a while back that we had done quite significant outside in expert work on pricing and promotional strategy. We've done the first phase of that, and that sort of played out as we expected and are continuing to evolve that. But you have got to be diligent, I think, as a brand owner when you bring consumers off quite sort of extreme high-low pricing to more of a kind of everyday low price model, you have got to do that sequentially. And so we've got a plan on the way there, but I think that's really important for us there. And then there's, again, some other opportunities in Japan, which is to look at occasions. Our full potential plan for Japan does indicate that there is a massive lunch occasion in Japan that we don't have much of. And so I think there's some other headroom. I'm confident at present that we can do both of those. But I suppose to complete, apologies for a very thorough response, but it's a really important question. As part of the longer-term full potential growth plan, nothing is off the table, and we are considering where is the right place for us to invest capital to make sure we get maximum shareholder returns. And obviously, France and Japan, as every market are absolutely part of that review, and we look forward to sharing the outcome of that sometime in this fiscal half when we hold that Investor Day.
Shaun Cousins: Maybe just hopefully a very quick answer for this. ANZ, your comps have slowed in the first half. Is New Zealand negative? And the reason for the tough -- for the slowing of the comps, is it just because you're cycling -- you've had a lot of menu innovation and aggregator uptake and it's just not there? Maybe just what's driving the slowing in Australia, please, in ANZ, please?
Mark Van Dyck: Well, as you identified, New Zealand is probably the greater challenge right now. Very, very tough consumer environment. I mean the research I've seen on New Zealand is actually quite disturbing. You've got consumers who are having to make really fundamental choices on what they spend on. That's not an excuse. We could do better. And we do have a plan in New Zealand right now to refocus promotion and product calendar and strategy, particularly to capitalize on that opportunity because as I said before, it is a context in which we should be able to shine. I think going forward, it's going to involve a more distinctive and bespoke strategy for New Zealand because it is a different market for Australia. And I think we need to make sure that we absolutely reflect that in what we do.
Nathan Scholz: Moving across now to Craig Wolford.
Craig Woolford: Just a question about that second half outlook and the levers or the things that are going to create some variability. Two other things I thought that might have been in there. One would be how much you choose to share the savings with franchisees. It still feels quite vague to me just generally as to how you think about that saving. And then also this extra marketing in France, that's going to be -- that wasn't in the first half, I presume, and will be there in the second half as the extra 1%.
Mark Van Dyck: In reverse order, yes, on that. And on the share thing, look, I think we're encouraged by the progression that we're seeing in franchise EBITDA. It's a very high priority for us. We are driving the efficiency program to be very much venture capital for growth. So I'm not a great believer in necessarily just redividing the profit pie, cutting checks where what we do want to do, I think, is incentivize franchisees to demonstrate the right behavior and put in place the enablers for growth. I certainly my limited time learned by talking to DPZ that the U.S. do that really well. In terms of the more fundamental kind of reinvestment, we are waiting, as I think is the right thing to do for the longer-term growth plan because I think we are going to, honestly, Craig, make some really important choices in that, where we put investment and the right way that the kind of system should be rewarded and investing in that. So we do expect to be able to give visibility of that then. But we really need, I think, to understand, have that exercise complete first before we round out on that reinvestment. We don't believe it will stay vague for too much longer. We are looking for second half to share that in the Investor Day. But I think it's important work, and I think shareholders and investors would want us, given the critical importance of that for our future, to really do appropriate due diligence on that.
Craig Woolford: And I know there's a lot of store movements in the second half associated with the announced closures. What should we expect on organic gross store openings in the second half for Domino's?
Mark Van Dyck: Yes. So maybe, Craig, if I go back to our previous guidance, we previously said that we're expecting a flat number of stores, and that was prior to the announcement of the 202 store closures. So you should expect that there will be a net reduction in stores. And then in terms of the actual organic store openings, there will be a small number of them, but it will be lower than previously anticipated. So while I can't give you an exact number, previously, people had backed out that it would be in the dozens of stores to be opened. And so it will be lower than originally anticipated at our previous update.
Richard Coney: In our stronger markets, we are continuing to open stores. So The Netherlands, even in Malaysia, we're continuing to open where it makes sense.
Mark Van Dyck: I mean -- look, I think, Craig, just to give you a sort of slightly wider answer. I mean the store closures were a hard decision for us to make, but we honestly think it's about securing the foundation for future growth. It does not reflect a lack of confidence in future growth or indeed store openings for the business. Inevitably, there's a few markets, particularly Japan, where it's a reasonable rightsizing and you wouldn't expect us to be opening stores in great magnitude after that. But as Richard said, there's still in our view, quite a lot of headroom. I mean, for me, I was a few weeks back in Europe and you take Germany, right, one of the largest pizza consumption markets in the world. It's a EUR 4 billion market. We've got a leadership position and our share is sort of 3x that of our nearest competitor, but we only cover 1/3 of the geography. Clearly, there's an opportunity in that market for us to really deliver a higher sort of growth in store openings. So I think another key part of this longer-term strategy is also to work out the right algorithm for that by country based on the opportunity set.
Nathan Scholz: And next, we'll go to Lisa Deng.
Lisa Deng: Just a follow-up, I think, on Shaun's question. Thank you for that detailed answer. I think just with all that you guys are doing in France and Japan, what is your like a view on when the positive sales could actually come back with a good level of confidence like with all that you know and all the actions you're putting in place, when do you think we could reasonably expect it to turn positive?
Mark Van Dyck: Look, I think it's probably a different answer by market, Lisa. And I won't sort of reprosecute the stuff that we've got to do. I'm optimistic that the plans we have in place should start to change trends in those markets. It's very hard for me to give you a very precise date because obviously, it's kind of a multilayered plan and it has sort of different impact. We were encouraged, as I said, by December in Japan. I think that was a good sign that it can work. That's probably the kind of the best guide I can give you at this moment, honestly.
Lisa Deng: But are we talking as a matter of months? Or are we talking about still an uncertainty until the larger piece of work is done? Have confidence on -- as a matter of months that you could potentially turn it?
Mark Van Dyck: I think, as I said, we're encouraged by the increased momentum that we're seeing in the business and the strategy. The 7 weeks sort of plus 1.5%, not where we want to be overall. But that does show that this sort of revised focus, putting consumer at the center, focusing very much on streamlining the business, along with the other initiatives we've got in market is starting to pay dividend. Very hard for me to give you a very exact kind of month measure on the outcomes. What I can tell you, though, is there is enormous team focus and management focus on Japan and France because clearly, they are holding back the overall results, and we don't like that, and we also don't like to underperform in 2 markets that have got such high potential.
Lisa Deng: As a second question, it seems that we restated the ANZ revenue numbers by quite a bit in the first half '24. So I think it was in our number -- like in our presentation today at $417 million, but then the prior reporting was $443 million. So it's quite a large restatement. What was that due to, please?
Richard Coney: Yes. I mean there was no -- it was -- I call it not a restatement, but a reclassification. And it was $27 million, and it's predominantly is simple as the fact that under the accounting standards, we -- our third-party distributors would deem that we had some sort of control over the sale price. And on that basis, we needed to eliminate the sales into our corporate stores. So it's a relatively technical accounting treatment that our auditors asked us to adjust for. So in terms of numbers, it's obviously material at a revenue level, but it's just really moving between sales and the bottom line and a net nil outcome.
Lisa Deng: Sorry, because the bottom line didn't move, so we took it off sales. Where did we put it? Where is the other side of the entry side?
Richard Coney: Into cost of goods in the stores predominantly.
Nathan Scholz: Now passing over to Tom Kierath.
Thomas Kierath: Just got one on the comments on the outlook on Asia. It says, I'll just read it out, Malaysia and Taiwan have cycled external factors positively and were positive in the first half as was Singapore. Is that right to read that you had positive comp same-store sales in the first half in those 3 countries?
Nathan Scholz: I can take that one, Tom. We had positive comps for Taiwan and Singapore and the exit rate of Malaysia was positive.
Thomas Kierath: And so I think you've reported negative 4% in Asia. So where was Japan as a country in the half, like negative 6%, 7%, 8%, I presume it's worse than the overall negative 4% that was reported for the Asia segment.
Nathan Scholz: We haven't provided that specific number, but it's in that vicinity. Next question across to Michael Simotas.
Michael Simotas: Can I start with franchisee profitability? I imagine given the different sales trends, there's quite big diversion or dispersion across the regions. Are any of your regions where they need to be or close to where they need to be in terms of franchisee profitability and payback?
Mark Van Dyck: I think we would say that if you look at the sort of average vertical margin model, you want to be at 10% to 12%, we're not adequately there yet anywhere, honestly, and we need to do more work and hence, the focus on that. I mean I think the good news is there is a fairly wide set of levers on that, right? I mean, clearly, you've seen from this result with the increased momentum, that's translating quite well. So there's sales growth. I think on top of that, the efficiency program that we're driving has a very strong potential impact. I think the other thing that sometimes forgotten is franchisees also have an enormous amount of influence on that themselves. I mean not only the example I gave before around same brand, same product, but realizing the same sort of potential, and that comes down to operational excellence, honestly. And we do have a lot of focus in the business, by the way, working with our franchise partners. Australia is a great example of that to continually train and raise their capability, but also focus on other costs like financing costs and particularly labor. One of the other focuses we have right now short term as a key program is to see how we can help in a labor inflationary market, our franchisees just make better rostering and better labor management measures. So there's sort of 3 levels at which -- 3 levers at minimum there at least that you can pull to drive franchisee economics. So I believe we're optimistic we can do it. We've still got more to do. We absolutely recognize that plan.
Michael Simotas: And then I guess a related question on the ANZ business. Your EBIT to network sales margin in ANZ for the half was a little bit over 9%. It's not quite at the peak, but it's not that far off the peak, and that's with what I imagine is a bit of drag from the New Zealand business. How should we think about your share of profitability or your economics in that market going forward? If you can lift the vertical economics, is there more margin upside for DMP? Or will that all need to flow to the franchisees in that market given your economics are already relatively healthy in that market?
Richard Coney: So Michael, maybe if I just jump in, first of all, is the big reason for that improvement in margin, and I think I've highlighted this before, is what we're doing in our corporate store business and turning that around. And compared to the prior half, it was a very big turnaround. So Kerri and our operations team have really lifted their game in that area. And then in terms of margins, that's probably the fastest way to grow our margins because we have 100% of the sales. So that -- I'll just highlight that piece. And then what was your other question?
Michael Simotas: Just in terms of -- like I take your point year-on-year. I think that makes sense. But if I sort of look back a few years, the economics of that business actually look quite reasonable relative to where they were sort of pre-COVID and not that far below the COVID peak. If you manage to improve the overall vertical margin in those markets, does DMP get more of the upside? Or does that belong to franchisees?
Mark Van Dyck: Well, remembering -- are you referring to our other geographies?
Michael Simotas: No, I'm referring to ANZ. I mean your other geographies, your economics are well below where they need to be.
Mark Van Dyck: Yes.
Michael Simotas: But in ANZ, they're actually pretty healthy relative to where they have been.
Mark Van Dyck: I mean I think it's probably a little bit more on a kind of macro level, but the incentive, do we benefit? Well, yes, we do because the more profit that franchisees make, the more likely that franchisees are to invest in the business, the more likely they are to become multi-franchise unit, which I've certainly learned is a powerful formula to have in the business because you start to build franchisees with some real scale that can develop better operational excellence. So I think we benefit from that. And in the markets where, for example, there's elective contribution to ad funds, they're more inclined to put money in. So increasing franchisee profitability does untap or unleash a lot of behavior that both parts of the system benefit from.
Richard Coney: And Michael, the other piece is we also -- we do incentivize growth in terms of new store openings. So that will wind off if we're not growing at the same pace as we were as well. So there's a margin lift there. And then as Mark said, the support we provide as that unit economics increases will come off, and this flows out to all of our regions. So there's a significant amount of support we provide to franchisees in their early phases or just if they are -- they do have challenges, and we support our franchisees. We tend to not like to close, but we don't have to other than this strategic change that we've made. And so yes, that maybe is another benefit.
Nathan Scholz: Can I maybe just jump in here and help clarify a question for Michael here. So Mark, you've previously just on the call now said that -- or one of the answers, you said that you're looking -- you think it works best when a franchise partner has sort of 10% to 12% EBITDA. DPE at the moment has in Australia and New Zealand, just over 9% EBIT to network sales. In terms of that profit pie, is as we improve the system profitability within Australia and New Zealand, is it our expectation that Australia and New Zealand, the DPE business will continue to grow from sort of just over 9% EBIT to 10%, 11%, 12%, 13%? Or should we expect that franchise partners will get more of that upside as we build the entire profit pool in Australia and New Zealand?
Mark Van Dyck: Well, honestly, right? I mean that's the way the model works. I think the benefit, as we said, is that our model leverages pretty fast once you start to get to those accretive margin contribution pieces. But we are very focused on making sure that our franchisees get to that sort of vertical margin. And that's really part of the work that we're doing on the longer-term growth plan. It's quite specific to each market, honestly. It's not necessarily a sort of generic target. It's quite specific to each market. But the model works best without sort of necessarily rehashing something we've talked a lot about is when you get into that kind of virtuous cycle of top line growth, franchisees investing. And as I said before, the other reason that we are working very hard on efficiencies is to be able to make sure that we are shielding our franchise partners from the inflation that's going on in the market right now. So I think that's kind of another big focus. Does that answer the question?
Michael Simotas: Yes, it has. That's cleaned it up.
Nathan Scholz: Next question across to Tom Kierath.
Thomas Kierath: Yes. I've had my turn that. I am good.
Nathan Scholz: Okay. Next, over to Michael Toner.
Michael Toner: Just wanted to clarify that statement around capital management initiatives until you hit 2x leverage. Should I interpret that as you're saying that you guys are considering running the DRP underwrite until you hit that level?
Mark Van Dyck: Not necessarily. But what I would say is that we haven't completed our strategic plan and the value creation plan. So until we complete that, I would say I wouldn't be giving any sort of longer-term view on that other than we did say in the previous half that we would keep the DRP at least for the current year. So this is theoretically, we may discontinue, but would really depend on concluding our strategic plan and would probably in around the May period sort of the time line that we're targeting.
Michael Toner: And then just on that longer-term sort of 3% to 6% same-store sales growth target for the group, is that the right way to sort of think about DMP on a longer-term view, say, sort of FY '26 on are you still kind of targeting around about that range?
Nathan Scholz: Maybe, Michael, if I just refer back to the presentation, what we've said and the conclusion is that we are reexamining what that growth algorithm looks like in terms of both what the medium-term outlook looks like for both same-store sales and for network openings. And so as to what that number looks like, we'll provide more of an update of that in this half of that Strategy Day. The next question is from Caleb Wheatley.
Caleb Wheatley: Just a follow-up on the trading update. I know that you've obviously called out those holiday events that impacted the 5-week to 7-week period. But just keen to -- if you can provide a bit more color on is that purely just a base effect as you've cycled in some of those events from the PCP? Or what are the sort of other underlying movements there? And then as we think about the remainder of the second half, is there anything that's either going to be a tailwind from a sales event or broader event perspective? Or are there things that are potentially going to be a headwind as you cycle the second half of '24, please?
Richard Coney: I think -- well, I don't know if Mark wants to add anything, but fundamentally, I think now that we've picked up the additional 2 weeks. We've now cycled out of that, let's call it, one-off benefit. So we're now -- it's still very early days. We've only got 7 weeks of sales. But at this point, I would say that let's call it, seasonality has been -- or holiday seasonality has been washed out.
Caleb Wheatley: And then in terms of thinking about the remainder of the half, is there anything either from a tailwind or headwind point of view, particularly worth calling out?
Richard Coney: Not that we're aware of.
Caleb Wheatley: And then just on the COGS comment as well, and you called out the work you're doing, and I know you made the example earlier about the boxes and it seems like that's already starting to progress. I know you said the timing is medium term there, but can you maybe just talk in a bit more detail in terms of the COGS stack at the store level, where you see the biggest opportunities and sort of the trajectory around that medium term in terms of that feeding ultimately back into franchisee profits?
Mark Van Dyck: Yes. So I mean it's -- to start big picture, I mean, I think in an environment where we've got internationally inflation. And secondly, where one of the things I believe that we should bring our franchisees as part of our kind of franchise role is to do our best to offset cost increase for them. We kicked off a program very soon actually after I joined, and there is a reasonably high proportion of the $34.1 million annualized that comes from -- I mean, obviously, it comes -- there's a fair bit from store closures. But of the balance, there's a fairly significant proportion from procurement efficiency. It's a big job because -- and I think this is the strength of the business, by the way, we source locally for the majority in most countries. So there's a lot of suppliers that we have to work through -- we have a methodology whereby we engage with suppliers and invite them to come in and give us -- present opportunities really for efficiency and improvement. We started that in Australia, and that is well underway, and we are rolling it into Europe and Asia right now. And that's the first phase of it. But as I said before, I actually believe that procurement excellence has to be one of the critical capabilities for our business going forward for the reasons I identified. And so we will kind of strongly keep at it. And I'm encouraged actually by the response and the commitment and the ideas that we've already seen from suppliers. Hopefully, that answers your question, gives you a bit more granularity.
Richard Coney: If I can just jump in, we've historically had a very decentralized approach to leadership, and that's a big part of the start of this COE process. And that's now really taking advantage of our global scale. And per Mark's point, we need to get consistent partnerships globally and in terms of products. So that's a big opportunity for us given that our model historically has been more about having that very much ownership of the total business at a country level. We now -- that obviously has some disadvantages in terms of purchasing and procurement.
Nathan Scholz: The next question across to Sam Teeger.
Sam Teeger: First question, is franchisee profitability higher at the moment in Japan or France? And any more color here around the relative profitability of these markets versus group average would be helpful. I guess, just thinking about the group profitability, it's arguably less relevant given ANZ would have a material weight here, but a larger proportion of the newer stores over the long run will come from Japan and France.
Nathan Scholz: Sorry, just clarifying your question, Sam, you said higher. Do you mean is on a 12-month basis, is franchise profitability in France and Japan higher?
Sam Teeger: No. Out of the 2, which is higher, Japan or France? And then just kind of keen to understand the relative profitability of these markets versus group average.
Richard Coney: On an EBITDA basis, I can say that the French profitability is higher, which reflects, as we've spoken about previously that the profit pool has not necessarily been divided in the appropriate amount. And sorry, the second part of your question was -- where do they stand in the group or historic?
Sam Teeger: The magnitude of the difference between these 2 markets and the group. Like I know they're lower, but can you give us the magnitude of how much lower?
Richard Coney: Yes. I think what we've previously shared is that in terms of a volume uplift that we need in both of those markets, we -- across the group, we're probably looking at something in the order on average of about 10% volume uplift. But at the Japan and France levels, we've shared it's Japan up to 20% volume uplift that was prior to these closures. And in France, it's in the high teens in terms of volume uplift that we're targeting in the near term. So that kind of gives you the magnitude in comparison to the group average.
Mark Van Dyck: Jumping in on Japan, we are going to get a free kick, let's call it, in terms of these store closures because those sales will, number one, the closures will flow to the surrounding stores. In addition to that, we've closed, I think, about 50 franchise stores, which will just come out of the sort of closed. Let's call it -- especially for our multiunit operators, they might have had 5 and they might have had one bad one. That's coming up.
Sam Teeger: That's helpful. And I guess given the challenges you are facing in France, just keen to understand at the moment, what proportion of the store network is profitable there and the likelihood that we'll see additional store closures in France this year?
Mark Van Dyck: I think -- look, I think the answer to that is that, as we said before, we still have some work to do on profitability in France. In aggregate, actually, we tend not to get into individual franchisee profitability because they are very contextual. I mean, for example, in Japan, funding costs are much lower for franchisees as an example. Having said that, I think that in France and Japan, the challenge really is we need to get back to more significant growth. That's really the challenge. And the model then leverages and they will continue to improve. But on store closures, based upon what we've seen in front of us, we believe that we have kind of rightsized the estate, so to speak, for the right foundation now to grow off. So I'm not anticipating short term any more need for that. The focus very much is on growth. And hopefully, we've given you a sense this morning of the sort of levers that exist within France and Japan and other markets to do that.
Nathan Scholz: The next question across to Ben Gilbert.
Ben Gilbert: Just can you just give us an idea of that $34 million of what you banked in the first half and what you're expecting to bank in the second half?
Nathan Scholz: Sorry, just to clarify, sorry, Ben, you're saying how much of the $30 million in savings was banked in the first half?
Ben Gilbert: Yes. I think you got $30 million for the full year you talk to and you're going to bank 2/3 of it. So that's $20 million and then you've got another $14-odd million, $12 million, $14 million from the other closures you announced. How much are you expecting to bank -- or how much is banked in the first half and how much you're expecting in the second half? Total is around $30 million.
Mark Van Dyck: Talking first half of the next financial year?
Ben Gilbert: This year, I was just doing savings in the first half and then what you expect for this current second half.
Mark Van Dyck: So for example, the store closures that we're doing it as quickly as possible. But the reality is we're not expecting material benefits in this current -- in the second half of this year. So it's more on an annualized basis moving forward as we execute and implement.
Ben Gilbert: Okay. So it's a modest in this half?
Mark Van Dyck: Yes.
Ben Gilbert: And sorry, just to clarify, and apologies, you may have been asked this 2 or 3 times, but there just seems to be a lot of concern around just -- and I appreciate it's 2 weeks, which is irrelevant looking at a 2-week trend, but there seems to be a lot of concern around ex Asia did ANZ and Europe deteriorate in the last couple of weeks, but it sounds like it didn't without putting words in your mouth, and you're pretty confident this is a baseline for comps for the half and then you're hoping they pick up a bit to hit that sort of prior guidance to grow EBIT. Is that a fair summary?
Mark Van Dyck: Yes. That's -- thanks, Ben, for clarifying that. That's a great question. Yes. So I can confirm outside of Asia, if you look at the 5-week update to the 7-week update, there's no difference. They're line ball as to what they delivered previously. It's just simply that in Asia, the Lunar New Year, those seasonal celebrations just happened to fall a bit earlier than last year. And so they're always going to be capturing the 7 weeks. They just fell a bit earlier, and so they really skew those numbers. And they're really significant sales numbers. You're talking 50% to 100% same-store sales in a week when you get those kind of numbers. So yes, I can confirm for you that ANZ and Europe, line ball with what we announced 2 weeks ago.
Ben Gilbert: I might try to sneak one more in, a last one. Have you had much inbound inquiry people look to want to buy in any of the regions?
Mark Van Dyck: Well, whether people want to buy markets?
Ben Gilbert: Yes.
Mark Van Dyck: You are wanting one Ben, is that?
Ben Gilbert: Not me. I'm just interested in France, obviously, it's a big market, I'm sure there'll be interest, but just interested if you have any inbound from people looking to want to take over any of the markets you've got.
Richard Coney: Ben I mean I think that would be premature. I mean I think we've got to complete the kind of full potential growth plan first. Our focus right now is obviously doing that, but also doing our utmost to improve the trajectory of all of those markets. So that's really the focus, honestly.
Nathan Scholz: I'm going to apologize sincerely to Richard Barwick for missing him on that first time around. Richard, go ahead.
Richard Barwick: No worries, just a little bit rich that Ben got a first, second chance and --
Nathan Scholz: And a third.
Richard Barwick: -- and then try to sneak in a third one. Yes, my question finally enough, actually follows on a little bit from Ben's second question, which is on some of these costs. So can you just clarify, coming into this financial year, you were targeting $30 million of cost savings and of which I think 1/3 has been saved with franchisees. So that was the goal. And then obviously, you've announced the $15 million of cost savings early this month with a further $19 million to flow through to '26. So can you just clarify exactly what are the targets in total for FY '25 and FY '26, please?
Richard Coney: Yes. So Richard, we're still looking at that entire scoping of what the potential savings are for FY '25 and FY '26. And really, until we determine what the full opportunity is, and that includes a full review of the IT marketing and food and packaging spend. That's why we're not trying to be cagey around it, but we really want to take the time so that we can take a full look through what that full opportunity of the savings are and then to share those. The other thing is we also want to make sure -- Mark has made really clear today that we want to make sure we're taking things differently, and that includes our communications to you. So we want to make sure we're not overpromising and going out with a number instead what we intend to do is as we identify those savings, we'll continue to ladder those up and tell you what we know we're able to achieve rather than what we're targeting because we think that gives you a better method at which you can score our results.
Richard Barwick: Well, so -- and that's actually where I was going to go with the question was in terms of progress on hitting those targets. So if I can just again sort of maybe clarify the $30 million that was coming -- the target coming into '25, that's really under review or captured within the wider review and really what we can focus on and that you've committed to is the $15 million savings for this year and the further $19 million to flow into '26.
Richard Coney: Correct. That's where we're at, at the moment. And as Mark mentioned, we'll have a lot more granularity and detail around that coming into this update that we're going to provide in May, but there's a huge amount of work going into that. And as Mark says, step 1 is what can we identify and clearly be solid on in terms of cost savings coming into May. And then that program -- those programs will continue moving forward. And I mean, just one example is we're very early days -- and we talked about the shared services space. We've got shared services in Malaysia and in Poland. And then you obviously get the labor arbitrage benefit as we bring those in, but they're not a quick win. They're just a process that will continue to deliver for us. So yes, a complex space that we're looking at across all parts of the business. And I think the other piece Mark pointed out is that our priority is that's just step one. The big upside for us is the top line because the top line is what really delivers for us.
Richard Barwick: We'll be looking forward to the update in May.
Nathan Scholz: The next question goes across to Billy Boulton.
Billy Boulton: Mark, just in regards to your comment around providing an updated growth algorithm for same-store sales growth and store openings, which I presume is going to be given at your Investor Day. I'm just interested about why even go there with providing the sort of guidance at this stage of the turnaround in the business, just cognizant of the track record of delivering against this sort of guidance over the past few years. I'm just worried you might create a bit of a rod for your own back in that sort of instance.
Mark Van Dyck: Well, that's -- I mean, firstly -- that's good advice. Secondly, we do want to be sure that when we do guide that we feel comfortable about delivering it. I think what we're saying really is we want to take the time to develop the full potential plan and then share with you the implications of that. As you say, whether it turns into full and specific guidelines guidance by year is very questionable. I think we just want to be able to make sure a few things. One, and the reason for this full potential idea is that you're not limited by budgets or the kind of constraints of year-in-year kind of planning. It's really how big could this be. So we unleash the potential of the thinking of our team to really maximize the kind of actions that we could take. The exact layout of those times obviously varies and the investment profile varies we'll do our best to synthesize as much of that by the time we get together and hope to be able to give you more specificity, but absolutely take the counsel and appreciate it.
Nathan Scholz: The last one over to Phil Kimber.
Phillip Kimber: I just had a question, and it's sort of a high-level conceptual question. If I look at your group EBIT, $108 million a year ago for the half, $100 million for the last half and $101 million this half. So you've done a really good job effectively protecting then per yield, Domino's profits in a tough environment. I think you had $50 million of cost savings last year and maybe some more this year per your old guidance. So looking forward, the challenges you've laid out and you've got to get the franchisee profitability up. Is the sort of conceptual target here, and I'm not asking for specific numbers, just conceptually, protect that profit, hold it around sort of similar levels. And then once the franchisee profitability gets up to where it needs to be, which I think you said $130,000. At that point, the leverage then can start to flow through to Domino's. And who knows how long that will take, maybe hopefully 6 months, but maybe it takes 1 or 2 years to get the franchisee profitability up. Is that sort of conceptually how we should think about your earnings? Because it's obviously proven quite hard to forecast in recent years. So any sort of directional help you could give would be awesome.
Mark Van Dyck: Look, if I just jump in and answer that question, number one, every single one is quite different. And so we've got the, let's call it, immature markets that we've recently purchased that are subscale. So in Malaysia, Taiwan to an extent, but -- and so those ones have significant upside as we scale them. So once we get the store openings going, that flows through to our bottom line. In terms of our other markets, you're correct. We'll -- first step is to get the franchisees' profitability up. And if we can do it concurrently with the savings that we're delivering through this cost-out process, then we should be able to grow our margins as well, but it's subject to us delivering on that. And then there's a decision, do we speed up the franchise profitability and not take margin at our end because that might be a better outcome because not best in the very short term, but in the medium term, we might be better to make those franchisees healthier so that they really push growth. So -- and I think that all of that will come out when we really do the insight into the strategic plan and the value creation plan that we're working on. So is that helpful?
Nathan Scholz: Phil, I've just unmuted you again. There was just some feedback on your line. So if you're able to unmute answer and to follow up with your last question. See if I can Phil, one more chance if you're able to unmute then.
Phillip Kimber: No, no, that's helpful conceptually. So -- and I mean, just on that, have you sort of got -- you've set a date. Is there a guided date at this stage? Will it be May or June? Or is that still up in the air for the Strategy Day?
Nathan Scholz: That's still up in the air, Phil, but I'll let you know as soon as possible. I will advise it will be in Brisbane. So I had some people question whether they'll need to travel offshore. No, we'll do it in Australia. Now if I just hand over to then Mark to -- we've gone through the questions, and I'll hand back to Mark for some closing comments.
Mark Van Dyck: Yes. I'd just like to say thank you, firstly, for your questions. I hope you recognize that we are listening and we are completely focused on restoring shareholder value. As I said before, we have a great business and a business model we know works. And what you can expect from us going forward is a focus on execution at pace, simplicity and consistency in everything we do and a sense of urgency, a very strong sense of urgency about the task as hopefully, you heard from me and from us today. We look forward to providing more detail at our strategy update in the second half of fiscal, as we said, including more specifics on execution and therefore, an ability to answer some of the other questions that you flagged today that are right. We just want to make sure that we've got the right plan for the business and have the strategy worked out by then. So many thanks to you all for your time today and for some great questions.